Operator: Good afternoon, ladies and gentlemen. [Foreign Language] Welcome to WSP’s Second Quarter of 2016 Results Conference Call. I would now like to turn the meeting over to Isabelle Adjahi, Vice President, Investor Relations and Corporate Communications. [Foreign Language] Please go ahead, Ms. Adjahi.
Isabelle Adjahi: Thank you and good afternoon, everyone. Let me first thank you for taking the time to be with us today. We would be discussing our Q2 2016 performance and we will be providing a net debt on our strategic initiatives then we will be followed by a Q&A session. With me today is Alexandre L’Heureux, our incoming President and CEO; and Pierre Shoiry, Vice Chairman is also with us today and he will be answering any M&A related questions. I also want to mention that the call will be recorded and we will make it available on our website tomorrow. Before I turn it over to Alexandre, I just wanted to mention that we will be making some forward-looking statements and that the results we report subsequently to be different from those expressed or implied. And we disclaim any intent to update or revise any of the forward-looking statements. Alex?
Alexandre L’Heureux: Thank you, Isabelle, and good afternoon everyone. We are pleased with our second quarter results as all regions with the exception of Canada delivered organic growth and year-over-year improvements in most of our indicators. We also posted adjusted EBITDA margin of 10.3% as compared to 9.7% last year. I would like to take the next few minutes to give you a brief overview of my first initiatives as incoming President and CEO. I will then focus on reviewing our operational and financial performance including Brexit and its potential impact on our UK operation. I will then conclude a brief update on our M&A activities before opening the line for questions. The first few months in my new role have been fruitful. After taking time to meet with analysts and investors to reiterate WSP’s growth strategy, I travelled to meet with our regional leaders and teams in Canada, the U.S., UK, France, Sweden, Australia, Mainland China, and Hong Kong. As we move forward, I want to continue to engage our leadership in the running of our business, work closely with our people, accelerate the development of our global business and improve the support we give to our smaller operations. At the same time, I want to maintain and encourage the empowerment and the agility of our countries and regions; we consider it to be a key differentiator and competitive advantage. As a result, one of my first decisions has been to replace the former executive committee with the new expanded global leadership team that will drive global initiatives and growth in our various sectors and geographies. Along with myself, our CFO, once appointed; Paul Dollin, our COO and our Chief Legal Officer; the other permanent members of this teams are heads of the main regions mainly Canada, the U.S., the UK, the Nordics, Australia, New Zealand and Asia as well as our global heads of transports and infrastructure, property and buildings and energy and resources. Notwithstanding these changes, we do not anticipate making any change to our reportable operating segments, which will still consist of Canada, the Americas, EMEIA, and APAC. We have also appointed Hugo Blasutta as President and CEO of Canada. Hugo is the former CEO of MMM, which we acquired last October. He has extensive knowledge not only of the Canadian markets, but of the infrastructure and building sector. You will have the opportunity to meet with him during our Investor Day to be held in Montreal on September 20th. David Ackert, who has headed and transformed the Canadian operations for the past two years, will lead our global energy and resources practice. Given the long-term growth opportunities for the energy sector, David is the perfect candidate to take on this new challenge and leverage the depth of our expertise in our network. Latin America being one of our target regions for growth following our recent acquisitions in Mexico, Chile and Peru, we recently strengthened our leadership in that region with the appointment of our new CEO and new CFO, who will oversee Central and South America including Colombia and Trinidad. Jorge Chaves, our new President and CEO for Latin America will report to Greg Kelly, CEO of the U.S., Central and South America. Finding the Middle East, we have appointed Greg Kane as our new Managing Director. Greg, who joined the firm in 2013 as a clear vision for the business in the Middle East and an in-depth knowledge of the opportunities and challenges the regions offers. I would like to welcome and congratulate all these new leaders and wish them all the best and their new role. We held our first global leadership team meeting at the beginning of July, during which the team had discussions on growth and the future of our global firm. Among other things, we focused on the experts we have beyond our impressive projects and we’ll look at some of our priorities including employee diversity and how to energize and engage our people. I left the meeting feeling very positive about the level of engagement and commitment of our senior leaders to take our business forward. I will of course continue to update you on progress as we deliver on our 2015, 2018 strategic plan. I mentioned the future of CFO earlier. The search which was slowed down by the summer period is progressing very well. We have already identified a shortlist of candidates and now are entering the final stages of the process. I’m therefore confident that we will be in a position to make an announcement in the coming weeks. This position is the most importance to us and we want to make sure we select the right candidate with the required professional experience and leadership skills. In the meantime, I can count on an extremely talented and dedicated corporate finance team headed by David Langlois, our Vice President of Finance and Treasury. Finally before we turn to our financial performance, let me address our professionals around the world and tell them how proud I’m of the rankings we’ve achieved in the Annual ENR Survey, which was released recently. For the first time in our history, we ranked at number one in the top 225 International Design Firm’s ranking. We also received the number one ranking in transportation, number two in power, number three in buildings; and on a geographical basis, we are number one in the U.S. and in Europe and number three in Asia and Australia. This is quite an accomplishment and talks to the depth of our technical expertise. Equally important that talks about our global mindset and it is a true reflection that our business has now an international profile. Let’s now turn to our operational and financial performance. As I mentioned at the beginning of the call, I am pleased with our Q2 performance. We posted revenues of $1.5 billion and net revenues of $1.2 billion, up 3.2% and 11.6% as compared to Q2 last year. We generated flat organic growth in net revenues in spite of negative organic growth of 9% in Canada, which made up approximately 20% of our total Q2 net revenues. We also posted adjusted EBITDA of $125 million, up $19 million, or 17.9%. Adjusted EBITDA was at 10.3% for the quarter, it was 9.7% last year. Excluding a $6.3 million provision recorded by our Canadian operating segment related to workforce rightsizing and real estate consolidation pertaining to our western Canadian operation, the adjusted EBITDA would have been 100 to the 1.3 million and adjusted EBITDA margin would have been at 10.8%. Global corporate costs were $14.8 million for the quarter and we anticipate the normalized run rate for such cost to be in the $15 million to $17 million for the remaining quarters of 2016. Adjusted net earnings were $56 million, or $0.56 per share. Our backlog, which continues to increase steadily amounted to $5.7 billion, representing approximately 10.6 months of revenues. More importantly, backlog organic growth, which can be viewed as an indicator of future revenues and net revenues, increased by 4.9% organically and on a constant currency basis, compared to Q1 2016 and this across all reported – reportable operating segments, and it increased 10.1% year-over-year. Turning to cash, DSO stood at 82 days, a 3 day improvement compared to Q2 2015 and within our forecasted end of year 80 to 85 day target range. Our net debt to adjusted EBITDA ratio was stable at 1.7 times; incorporating full 12 months adjusted EBITDA for all acquisitions. To date with our revolving credit facility fully accessible and over $200 million in cash we have access to more than $800 million to pursue our growth strategy. Finally, we declared dividend of $0.375 per share to shareholders on record as of June 30, 2016, which was paid on July 15, 2016. With a 55.4% DRIP participation, the cash outlay was $16.8 million. Giving our geographical diversified revenue stream model, we entered the second half of the year with good momentum. Our performance on regional basis is as follows. The Americas posted 0.4% organic growth and generated an adjusted EBITDA margin before global corporate costs of 15.7% the highest amongst all reportable operating segments. The U.S., which is the largest country in this region, posted 1% organic growth for the quarter in line with our expectations. Backlog in the Americas continued to be solid, particularly in the transportation segment. It grew organically by 6% as compared to the first quarter, a positive sign for the second half of 2016. We therefore reiterate our low to mid single-digit net revenue organic growth outlook by year-end. EMEIA as a whole posted 1.5% net revenue organic growth and 10.1% adjusted EBITDA margin before global corporate cost. Our Nordics operation posted a very strong quarter, delivering 14% organic growth in net revenues. Sweden led the way, posting approximately 13% net revenue organic growth. After several difficult years, due to depressed market conditions, our Finnish operations delivered strong results posting organic growth in net revenues of approximately 27% for the period. Our UK operation delivered solid 2.6% organic growth in net revenues for the quarter and has actually been reporting year-over-year organic growth since the 2012 transaction. Let me now take a few minutes to comment the UK and the impact of the recent decision of the UK to leave the European Union. First, let me just say that it is early days and it is difficult to assess economic complication Brexit will have on the country. Keeping in mind that UK only represent approximately 15% of our total 2015 net revenues and adjusted EBITDA. Our sector and diversity across public and private sector markets, which respectively represents 41% and 59% of our UK 2015 revenues means that we are not overexposed to any one particular area and our relative resilience so far has been demonstrated both pre and post referendum. In the UK bidding activities, the activity has remained relatively consistent with a good number of opportunities. This has provided for a healthy backlog. As an example, public Center transportation infrastructure markets more particularly highways and rail, which represents approximately 30% of the UK’s revenue remain strong, which is in line with the government’s commitment to the national infrastructure delivery plan span. We anticipate that strong public funding will continue and do under the new Prime Minister, particularly in our core transportation, infrastructure and property markets. On the other hand, we are feeling some uncertainty in the private sector property markets, which represent approximately 25% of our 2015 revenues in the UK and approximately 3.75% of our total 2015 revenues. Slowdown in activity is most noticeable in the London and Birmingham regions. Client reaction in this sectors have been mixed with high-end property developers feeling the biggest drop in confidence and property projects being put on hold. We also noted a slowdown in land sales and planning application, outside of London where a larger percentage of our property work is public sector related. Our operation feels less of an impact. With a well balanced sector spread and a strong focus on both national and regional clients together with a flexible workforce, 80% based – as an information, 80% based outside of London. We believe we are well positioned to manage the current uncertainty and volatility related to the Brexit vote and do not anticipate at this time any material impact on our 2016 performance. As such, we will continue to see the UK as a key strategic market for investments and acquisitions in the future. The Middle East experienced negative organic growth in net revenues of approximately 20%, which reduce the EMEIA segments consolidated organic growth and net revenues. The market conditions continue to have negative impact on government spending, a key driver for the region. We do not anticipate any significant improvements for the remainder of the year. Other countries namely France, Germany and South Africa have delivered as per expectations. We expect the EMEIA a region as a whole to continue delivering positive results for the remainder of 2016 and now anticipate low to mid single-digit net revenue organic growth for the second half of the year. Let’s now turn to APAC, which posted 4.6% net revenue organic growth and adjusted EBITDA margin before global corporate cost of 11%. Our Australian operation performed very well delivering 6% organic growth. Aggressive pursuit of opportunities bears fruit ahead of expectation as we had not anticipated a significant recovery in the region until the second half of this year. Major project wins in transportation and infrastructure fueled the results for the quarter and increased backlog, which should translate positively in the future. It is an encouraging outcome giving that our teases related to the acquisition of Parsons Brinckerhoff was indeed to improve margins and generate organic growth in this region. We are therefore pleased with the trajectory the country is now taking. Our Asian operation delivered organic growth in net revenues of approximately 3% for the period in line with expectations. We anticipate growth to remain steady for the remainder of 2016. For the second half of the year, we therefore expect flat to mid single-digit organic growth for APAC. Finally, Canada, as anticipated, our Canadian operation posted negative organic growth for the period. However, on a standalone basis, MMM experienced organic growth of 4.7% for the quarter, and 6.4% for the first six months of 2016. Adjusted EBITDA margin before global corporate cost amounted to 8.5% for the quarter. On a positive note, the level of contraction decelerated from 13.4% in Q1 to 9% in Q2. We anticipate this deceleration trends continue in the second half of 2016. As explained before also impacting our Canadian result, this quarter was a provision of $6.3 million related to workforce rightsizing and real estate footprint consolidation pertaining to western Canadian operations. Excluding this provision, adjusted EBITDA margin before Global Corporate costs would have stood at 11%. Overall, we are pleased with the results for the quarter, which were in line with our expectation. And therefore, we are reiterating our full-year 2016 outlook. This takes me to the last point of this conference call and I would like to cover before opening the line for question, the M&A update. Since the beginning of the year, we have closed five acquisitions totaling approximately 500 employees. All these acquisitions were financed using our balance sheet. During the quarter, we’ve closed the acquisition of DITEC in Mexico, a 100 employee firm with an expertise and structural engineering. Our most recent acquisition, which actually closed on Monday, was the industrial water division of Schlumberger, which employees approximately 250 employees. Although net large in size, these acquisitions enabled us to achieve some of our 2015 2000 strategic plan objectives, being establishing a footprint in Central and South America, while strengthening our presence in Scandinavia. We also expanded our expertise related to buildings, nuclear power and water, something of increasing importance as climate and demographic changes place, increased stress on finite water resources. Unfortunately, acquisition of TAMs [ph] are not always successful as was the case with the bid we made for the acquisition of Sweett. We provide ourselves in having a disciplined approach when making acquisitions. We carefully look at cultural fit and relative valuation. In this case, we revaluated our position as they were being notified a counter offer and concluded that pursuing the transaction at a higher price will not generate optimal benefits required for clients, employees and shareholders. We therefore remain confident that other opportunities in line with our strategic outlook will present themselves and benefit our long-term growth perspectives, while further strengthening our global presence and technical expertise. On the positive side, giving the current price of the pound, the UK market could be more attractive to us keeping in mind that our acquisition strategy is based on three criteria: like-minded firms, similar culture and vision and valuation. Sam and I have worked closely in the past and we intend to continue to do so in the future. We will keep you posted on any development in our continued pursuit of acquisition opportunities aligned with our 2015, 2018 strategic plans. In conclusion, I want to reiterate that I believe in this trend of our business model and the effectiveness of our growth strategy. As well as enriching our global network with professional services firms with complementary expertise and culture, we will remain focused on driving organic growth, leveraging our global know how, and winning work. We will also continue to develop our people, which represents our biggest asset and provide them with professional development opportunities. I would now like to open the session for questions.
Operator: [Foreign Language] [Operator Instructions] Your first question comes from the line of Mona Nazir of Laurentian Bank. Please go ahead.
Mona Nazir: Good afternoon and thank you for taking my questions.
Alexandre L’Heureux: Hello, hi.
Mona Nazir: Hi. So I just wanted to get on the guidance a little bit, you’re keeping your organic growth range intact. Are you expecting some strength in the UK, Sweden and the U.S.? And I know you just spoke about UK, but I’m just really trying to see how organic growth will not be impacted if private spending is 59% and your building disclosure is over 30%. Looking at your peer company, Arcadia, they spoke of economic uncertainty in Europe just due to Brexit. Do you think that you’ll be changing your strategy in the UK at all and maybe moving resources more towards the public spending side and not investing so heavily perhaps in the property market or keeping status quo at this point?
Alexandre L’Heureux: Yes, well, to answer the first part of your question related to the guidance, as you know, if you look at the first half of this year, we generated on a combined basis, the first six month negative organic growth. However, looking at our outlook I mean and looking at the second half ahead with what we know today and the outlook that we have in front of us, I think we’re feeling comfortable that we are entering the second quarter with good momentum. And I feel that I think we’re well positioned at this point as we enter the second half of this year. And that’s why I’m reiterating our outlook despite the referendum, despite what happen in Brexit and market volatility. So that’s the first part of your question. The second part in relations in the UK business, as I mentioned that the UK – the UK represents approximately 15% of our total net revenue and that the private sector in relation to property and building represents about 3.75% of our total net revenue. So, although, there is a bit of uncertainty in certain parts of private sector business, I would not be prepare at this point in time, since it’s really days to say that some uncertainties across the patch. So we have a good order book. We have a good backlog. And right now, our job internally and our job in the UK is to stay the course and deliver good services to our clients.
Mona Nazir: Okay, thank you. And just secondly from me, if you look at the evolution of the company over the last five or six years has been significant, 2010 you had 3% to international exposure and last year you had over 80%. Do you think that global rankings on your current business model with the geographic spread and also vertical diversification protects your downside? And if you could speak a little bit about the continuing evolution as we move into 2017 and beyond. You have over $800 million in M&A left as per your strategic plan. So can we expect continued larger acquisitions or a higher number of kinds of smaller tuck-ins like you’ve done this year?
Alexandre L’Heureux: Okay, so again there is two questions. And your questions, I’ll start with the first part. I think to answer your question, yes, we have I think a very resilient business. Now, I’m pleased with our current graphical and end-market mix. And although I mean it cannot protect you for all downside, it’s certainly mitigated. I do feel that now. And you look at the evolution from the IPO and where we were in 2012 and following the Genivar WSP merger and the PB, WSP merger and MMM transaction, I do feel that that not only we have added a lot of technical expertise to the platform, but we also added a lot of resiliency to the platform. And this is something that we should remember. So that’s the first part of your question. And the second part was in relation to acquisition. And perhaps I could turn to Pierre, who is with us today to discuss our strategy around acquisition and the question around bolt-ons and the larger sized acquisition.
Pierre Shoiry: Well, as in the past, Mona, we’re going to remain over to larger opportunities, but right now we have a very interesting platform. And I think the Schlumberger acquisition is a good example of how you can take a very expert, technical strong company in water. And now leverage that expertise across the global network. This company had if I am not mistaken over 60 employees with masters or Ph.D. degrees in water. So, this is a very good example of how you can leverage these firms within the global network. So, I think, we can expect the mix of both small and hopefully larger acquisition, medium-sized and larger acquisitions. And as Alex said, we’ve always had a disciplined approach. It has to meet our strategic criteria, cultural fit and line vision. And we don’t intend to change that strategy going forward.
Mona Nazir: Okay, thank you.
Alexandre L’Heureux: Thank you.
Operator: Your next question comes from the line of Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey, guys.
Alexandre L’Heureux: Hello, Yuri.
Yuri Lynk: Hey. Alex, so good quarter, good start, maybe – was there anything special in the quarter in terms of margin, if you back out the restructuring you’re up almost 100 bps versus last year. I mean was that something that we think is sustainable? Or was there anything kind of pulled forward in the quarter?
Alexandre L’Heureux: Well, as we indicated in the past in many different occasions, Yuri, I mean, it’s very difficult to formalize a view on 90 days. I think you need to look at on an annual basis, the margin profile of our business. Certainly, I mean I’m very pleased with the results. There were nothing special in the quarter, it was pretty uneventful other than I’m pleased with the performance of the underlying business, clearly. But if you remember in Q2 of 2015, we were at the beginning of our integration process, integrating the two head offices: the New York office and the office – our back office as well. So, I think, we were in the middle of this process of working on our strategic plan to improve the margin profile to where we wanted to be. So, its ongoing work, pleased with Q2. And then I’m clearly, pleased with the trajectory, but I wouldn’t conclude on one quarter, so we’ll see.
Yuri Lynk: But when I’m squaring away the guidance versus your year-to-date results, your – I should be using the 125 right for the quarter. It doesn’t make a big difference, but just….
Alexandre L’Heureux: Yes, I don’t think it makes a big difference. The 125 is the real number, because we did have some rightsizing and that consultation our real estate. So, I think, it’s a good assumption to use the 125 as opposed to 131.
Yuri Lynk: Okay. And the benefits going forward of this six million plus in cost savings, do you care to quantify what that might be?
Alexandre L’Heureux: No, we did not quantify it in the MD&A. I mean clearly more than half of this is rightsizing of our personnel. And it’s really to right size our organization to the marketplace within Western Canada as we speak here.
Yuri Lynk: Okay. Last one, just on the U.S., can you just talk about what you’re seeing in terms of the transportation markets there and what you expect going forward? Obviously, the spending numbers have been pretty good and there’s lots of talk about more activity, but are you guys seeing any of it or expect to?
Alexandre L’Heureux: Yes, right now, I mean, it’s a good market. We see a pickup in the momentum. Our backlog is increasing at a good pace. So it certainly bodes well for the future. So, clearly, right now optimistic for the U.S. business.
Yuri Lynk: Okay. I’ll get back in the queue guys. Thanks.
Alexandre L’Heureux: Okay. Thank you.
Operator: Your next question comes from the line of Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Hi, guys.
Pierre Shoiry: Hello, Frederic.
Frederic Bastien: I was presently surprised with the results of the APAC region and specifically your Australian operations. You do however know that your successes in the region resulted from an aggressive pursuit of opportunities. Can you explain on that? And maybe indicate how that might impact margins and profitability if at all?
Alexandre L’Heureux: So I think Frederick that’s – we’ve been – since the merger with PB, I think we’ve working with the team in Australia which by the way we have a great team, we’ve made some changes in the leadership team, I think we’ve got to know each other. And as we’ve always done with past acquisition, we imported the best from any business we acquire, but we also export our know-how when we think that we can add value. And I feel the combination of these two – I think as the results of these two, I think we clearly have a stronger market in Australia. So I won’t want to take the full credit internally for what’s happening in the transportation market in Australia that is there’s a good load of opportunities. But also I think we’ve worked hard in Australia to change the business over the last 12 months to 18 months, and I think now we’re starting to see the results of this hard work.
Frederic Bastien: Okay, great, thanks for that. Now if I adjust your Canadian results – basically filling on Yuri’s question, if you adjust the results for the provision you realized, EBITDA margin for the region would have come in at around 11%. Do you believe you can improve on that 11% in the second half or is that a good run rate to be looking at it?
Alexandre L’Heureux: No, it’s – I think first I mean the reason why we included that $6 million in our results is that those costs were taking the ordinary course of business. I mean constantly in a people business and in the professional services business, you have to adjust your workforce to the supply and demand dynamic that takes place in any given market then, and that’s what we’re doing. So right now I think it’s a challenging market Canada albeit it’s improving, I mean quarter-over-quarter I think we’ve seen a bit of an improvement. But it’s still remaining very much a challenge and we clearly going to be working hard in the future months and quarters to improve. But it’s still for the remainder of the year; I wouldn’t expect major changes in the margin profile.
Frederic Bastien: All right. Maybe last one for me on acquisitions. Where are you seeing the best options right now, I mean to me it seems like Europe would represent a great – would have a lot of potential given the uncertainty there, but I’m wondering if you could just take it over from here?
Alexandre L’Heureux: I’ll turn to Pierre, yes.
Pierre Shoiry: We have every region in the world that Frederic had his game plan. We’re seeing opportunity in Nordics. We have an aggressive strategy in Nordics to grow in business. As you said, Europe, there are several countries where we can be more subscale and we believe that certain countries we could also enter in Europe. There are a lot of the – when you rank as we do in buildings and infrastructure as a leaders in the world. There are some countries where we have opportunities but we need some local presence. So Europe – and clearly the U.S. market is as Alex said, area is a very strong market, is a good market and why we have very strong position to transportation and then buildings and our environment practice could grow, where the power business could grow significantly. So we do have opportunities I’d say in every region of the world right now. And we talked about Australia. We have a good business, solid business, good prospects. We have to Tier 1 status in lot of sectors, but other sectors, we can grow. And a bit more scale in the country could also help. So there’s a good spread of opportunities across the world right now.
Frederic Bastien: Great, thank you. Much appreciated.
Pierre Shoiry: Thank you.
Operator: Your next question comes from the line of the Benoit Poirier of Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Congratulations for the good quarter. Just to come back on the Americas, I mean organic growth was kind of flat in the quarter. Just wondering about the outlook for the second half because looking back at the second half of last year you were above the 5% level. So just wondering if you were going to be facing a softer compare or any color would be appreciated?
Pierre Shoiry: Hello, Benoit. We’re still expecting single to mid digit range for the second half of this year.
Benoit Poirier: Okay. And if you look at the recent data for new the U.S. non-residential design, the outlook for 2016 and 2017 was kind of a 5% plus for those two years in the U.S. So just wondering if is it kind of the numbers you are seeing in the market right now when you talk to customers and clients?
Pierre Shoiry: Not only 5%, it’s a view and an average. I think our building and property business has been doing well for a few years now in the U.S. So I think 2016 is not any different. I think we are performing well and I think the numbers that you highlighted are not that unreasonable. But I think that at this point I will leave up to this.
Benoit Poirier: Okay. Perfect. And just on the free cash flow side, Alex, could you mention more color about the your expectation for the year in terms of free cash flow and maybe changes in working capital?
Alexandre L’Heureux: Well, I mentioned as we provided the early on the year for guidance on our DSO around 80 to 85 days.
Benoit Poirier: Yes.
Alexandre L’Heureux: So right now I think we’re performing a bit better or ahead to where we were a year ago, so approximately three days. But I think said all that I mean in certain part of the world right now there’s been some increases and therefore I think I would stand by this range and therefore I mean I think this year we see – where we are asking a bit of a difference from where we were last year at the same time as for the CapEx spending which was totally expected. When you combine two 15,000 people firm, clearly on CapEx you will be incurring some costs, especially in relation to real estate consolidation. So I think that’s where I think free cash has been slightly impacted, but I expect 2017 to be back on track on a normalized basis.
Benoit Poirier: Okay, so does it mean that your free cash flow conversion because last year in 2015 you were close to 100% so that does it mean that 2016 you’ll be definitely below the 100% threshold, Alex?
Alexandre L’Heureux: Well, it’s early – it’s still early, we’re only halfway through the year, we’re in early August. So I’ll try to – I’d like see how we will be performing in Q3 before making a statement where we going to be above or below, but in Q3 I will make a point to get back to you on this one. Right now, I think that clearly our DSO will – I think we’re projecting the DSO to be higher this year by few days than where we finished the year last year, so clearly this will have an impact. And that will have a proven impact on free cash flow and I talked about CapEx as well. So I think I need a bit more time to assess that where we’re going to finish the year, in Q3 I think I’ll be in a good position to give this answer to you. But it will be around above ballpark, I mean we’re not going to be significantly below or significantly higher, I think I don’t see many outliers for 2016.
Benoit Poirier: Okay. That’s great color. And last one for me just in terms of backlog it seems that if you record level – you achieve a new record level in terms of month, 10.6 months. So any trends going on in the industry or specific we do to WSP’s. Is it the complexity now the work that makes the duration longer or is it conversion of stuff into hard backlog? So any color on the some 10.6 month that is trending upward?
Alexandre L’Heureux: I think, Benoit, it’s the combination of all of the above. I think we are now – I mean, I mentioned early on that I like the markets we’re in, including the UK. So we’re I think in good markets. I think our strategy has always been to be in developed countries and the vast majority of our revenue are generated in the industrialized countries. So it’s really like that geographical mix and I also like the end market mix. So I think that’s one of the reasons, but also as I said, I mean some markets are performing very well, and Australia is an example of this quarter. Hopefully, it would be – it will less, but certainly Sweden has been performing extremely well for many years; the UK has been performing well for many years; the U.S. is picking up, and we hope that that Canada will revert to the green eventually. So, I think, overall, I think that’s the reason why you’re seeing the backlog increasing.
Benoit Poirier: Okay. Perfect. So thank you very much for the time.
Pierre Shoiry: Okay, thank you.
Operator: Your next question comes from the line of Jacob Bout of CIBC. Please go ahead.
Jacob Bout: Good afternoon.
Alexandre L’Heureux: Hello, Jacob.
Jacob Bout: I had a question on the – I want to dig in a little bit more on the U.S. infrastructure market. And when you take a look at the deal flow there, where we’re seeing some very strong growth, how are you feeling about your positioning there as far as your product offering, specifically for the U.S. infrastructure market?
Alexandre L’Heureux: I feel very good. I mean that’s all I can say, I cannot be clearer than this. I think we have a great team with very strong technical expertise, with a good geographical mix. And I think, I mean, that’s all I can say. I feel very good about our team. And you said, not that I’d like to – I mean to made a point about this, but if you look at the ENR ranking, I mean, we’re ranking number one. So, I mean – I don’t like to talk about that stuff, but I think we should be proud of this, it’s a great achievement, and thereof it’s actually good.
Jacob Bout: Is there anything that you’d like to add to your product offering?
Alexandre L’Heureux: Well, Pierre talked about this, and maybe I can turn to him again to talk about how we could expand our service offerings.
Pierre Shoiry: Well, Jacob, our strategy is to be top-tier in all of our end markets. Transportation, we have a very strong position in highways, bridges transit in the U.S., certainly maybe some pockets that we could improve – some regional pockets we can improve with a few specialty expertise. In buildings, we’re a leading firm in the U.S. We have very strong structural and electromechanical capabilities and we work on various private and public sector projects. We did some strategic acquisitions last year with Halvorson in Chicago and CCRD in Dallas, which positioned us in the healthcare sector. So there’s still I think some strategic acquisitions, a lot of large urban areas, where we could increase our presence in buildings. And then the environment and the power, power we have some very strong expertise in various sectors and gas storage amongst others and in other areas, but there’s clearly we’d like to grow that sector. And environment and water, those are areas where we can significantly grow our presence. Now, we have about 6,000, 7,000 people in the U.S., which is a good presence, but certainly – there is a market to significantly grow when you’re thinking about it, where 8,000 people in Canada. So it’s a good market. As Alex said, there’s good movement following the fast act, which – long-term funding around. So you’re seeing a lot more third-party funding state and local funding. I think that the candidates for the presidential election, there’s a lot of talk about infrastructure spending. So, there’s a good momentum. And clearly, there’s good opportunities for growth for us.
Jacob Bout: Okay. And maybe just a following question on Canada and your organic growth outlook. Maybe you talk a bit about mix. How are you looking at infrastructure versus some of the other markets you’re looking at?
Alexandre L’Heureux: Well, I think like every time I meet our investors, I make this analogy or talk about the fact that in 2015 we felt the impact of the oil and gas market in our business. And in 2016, we sustained a collateral impact on the other markets that’s because of the oil and gas sector. So, looking ahead, I mean, clearly, the first half Western Canada across the patch here was quite difficult. However, I do expect a continued improvement in our business. And I do think all is not dark in Canada. I think the prospect – the long-term prospect and you look at the opportunities, especially in transportation infrastructure in the coming years exists and is there and is real. And therefore, I think we should not just have a negative view around Canada. I think the long-term outlook, I’m optimistic, but clearly there’s more work to be done in our business and within the country in order to get back to where we need to be.
Jacob Bout: Thank you very much.
Operator: Your next question comes from the line of Sara O’Brien of RBC. Please go ahead.
Sara O’Brien: Hi guys. Can you comment on the margins by segments were down and all segments except APAC and at the corporate level. I’m just wondering if your sort of trading margin for the organic growth opportunity or is it sort of national or global clients that are squeezing margin down. Just wondering if there’s any general comment you can make and where the opportunity is to improve margin and if that’s the focus.
Alexandre L’Heureux: Yes. I mean clearly the allocation of global corporate cost we’ve put it on one line basically and on the total line, I mean, the clearly when we internally when we workout the numbers and then workout on the allocation and I’m looking at our global corporate cost in Q2 one year ago it was $25 million and now it’s $14 million, so it’s melted by pretty much half of where it was a year ago. I mean that’s pretty much one of the biggest, one big driver that could explain the overall organic – not organic growth, but EBITDA margins sorry Sara. And if you recall last year was the catch up on LTIP if I’m not mistaken my memory is not telling me that caused the number to be so high, because our run rate as I indicated earlier today is more around $15 million to $17 million. So I want to say that in Canada, I think we’ve talked about it. I think this quarter we have a $6 million -- $6 million cost on this EMEA, clearly the Middle East has been deterrent clearly to the margin profile of EMEA as a whole. But if you look at all of the other countries, I would argue that we have improved, but clearly the Middle East has had a big impact. It’s been such a very difficult 12 months for the region that this had an impact. So – and clearly Americas as I said the difference between Q2 2015 and Q2 2016 is the de minimis and it’s very difficult to comment what happened in one quarter versus the other, but Colombia suffered as well a bit over the last 12 months, and I’m sure just had an impact on the Americas segment.
Sara O’Brien: So, when you look forward, I mean towards your 11% EBITDA margin target for 2018. Do you feel confident that with the business environment in all of your segments now, there’s opportunity whether it’s through integration or cross selling initiatives to get to those incremental improvements or do you feel like this is kind of a run rate for the level of business right now and the environments where we’re dealing with now.
Alexandre L’Heureux: Midyear 2016, end of year 2018 plan, we call for a 11%, where we still have 30 months less, very difficult to predict where we’re going to be 30 months from now, it’s still a quite volatile environment right now and we’ve seen that in the last quarter. But overall, I think I’m confident that we are headed in the right direction. I personally confident that we’re headed in the right direction and that I would not be prepared today to standup here and say we want to achieve that 11%, I think we’re headed in the right direction to achieve that.
Sara O’Brien: Okay. So you see more improvements I mean not just in the back half on seasonality but into 2017 based on internal initiatives right now?
Alexandre L’Heureux: Yes.
Sara O’Brien: Okay. Thank you.
Operator: Your next question comes from the line of Chris Murray of AltaCorp Capital. Please go ahead.
Chris Murray: Thank you. Good afternoon. Just I was referring to something you said about maybe reassigning or having David work more on the energy and resources business. It’s a vertical that’s historically you’ve always participated in but it’s become less and less of the business now. Is that a way to think that maybe you’re going to be thinking about what you do with that business a little differently and any thoughts around, if you start to grow back in that doesn’t mean that it needs to be more international in line with, how you’ve moved up before or that there may be other M&A opportunities there.
Alexandre L’Heureux: It’s a great question. And I’m glad you’re asking it. I mean the number of reasons why I believe that David would be the perfect candidate to lead that practice. First and foremost I mean, when you look at the combination of WSP and Parsons Brinckerhoff I mean we need to remember when we acquired PB that PB had a great power franchise in the UK a bit different in the U.S. but also some pockets of great technical expertise in Australia and around the world. And therefore I think not only I mean we wanted David to do what he does best he has a great knowledge of the oil and gas sector, but also to really oversee all of our expertise in oil and gas only in Canada, but the around the world, but also in power. So that’s why I don’t see this just as an oil and gas practice, but an energy practice where we can really develop a strong strategy around power, because we have actually outstanding expertise on the platform and we wanted somebody to leverage that expertise across the group.
Chris Murray: Okay, we should be thinking that you’ll be targeting more in terms of acquisitions in order to grow that or that you’ll try to build that organically.
Alexandre L’Heureux: Well I think our approach is always been that and as part of our strategy, I mean we’ve never mentioned in the past that oil and gas and power was not part of our strategy we always said we would be opportunistic around those market segments, and I think our views have not changed. So, but I think do you have the caliber David and our team and I have the caliber of this professional and our team might thought that we could use him to really like gather and leverage all of the expertise we have around those two segments oil and gas and power and frankly mining. So that we can really leverage and get ready for a recover when there is one day. 
Chris Murray: Okay. Do you see any sort of recovery in the mining business at this particular point?
Alexandre L’Heureux: No. I mean we’re I think – we’re working hard to I think I just came back from Australia and I must say that’s despite the very difficult environment. I think our team over there, if they ever listen to this call should be commented for the hard work they’re putting in. I mean the team is strong and is quite resilient and it’s trying to win the share of work until that recovers. But I think for the time being, I would argue that around the world it’s been a pretty, pretty depressed market.
Chris Murray: All right, thank you.
Operator: Your next question comes from the line Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks. So just two quick questions here, Alex, do you expect any additional rightsizing in Western Canada or any other regions that matters in the second half?
Alexandre L’Heureux: In the second half no, I wouldn’t think so, that’s a clear answer. Michael I think at this point in time we feel that we’re comfortable with the business that we have.
Michael Tupholme: Okay, thanks. And then with respect to the Middle East I think you mentioned you don’t expect any kind of improvements in the back half of the year. But at what point do you start to face easier comps in that area?
Alexandre L’Heureux: I’m sorry I missed that the last part of your question, Michael.
Michael Tupholme: Just wondering at what point you begin to face easier prior year comps in the Middle East, so even if there’s no pickup in activity there you’re at least sort of back to a flattish rate of growth.
Alexandre L’Heureux: The first half of 2015 was actually a good year for the Middle East. We were working off a good backlog in 2014, and we had grown by 33.0% in 2014. So we had a good backlog going into 2015, so I’d say that the between until 2017 I don’t see – I don’t see a good comp just showing up at this point in time, I think the second half was quite difficult, but still we were still doing okay, I mean really this year has been where we felt that heat a little bit.
Michael Tupholme: Okay. And then just lastly listening to some of the comments about Canada, I think the comments with respect to Canadian growth with sort of overall comments, but as it relates to Western Canada are you from an activity level perspective or are you sort of out of bottom now or things still declining.
Alexandre L’Heureux: It’s very difficult to answer this question. I mean it’s almost impossible to answer this question. I think, I mean I’m stating the obvious but we’re much closer to the bottom and we were a year ago. But what I can say is I do see our Canadian business as a whole to improve consistently. But I think the oil and gas; it’s still a big question mark. I mean, it’s still quite difficult out there. It’s a very difficult environment. So, clearly, it’s challenging. And in those challenging time, it’s very difficult to say exactly when we bottom your market.
Michael Tupholme: Okay. Thanks very much.
Alexandre L’Heureux: Okay.
Operator: Your next question comes from the line of Bert Powell of BMO Capital Markets. Please go ahead.
Bert Powell: Yes, thanks, Alex. I just wonder to follow along with that question a little bit. The rate of change has obviously gotten a little better, but it’s still negative. And I know you don’t want to say when the bottom is, but it’s fair to say that and I think in the past calls you’ve talked about Q3 maybe being the bottom, but it seems like that’s giving your commentary and likely not the case. Is that a fair way to interpret what you’re saying?
Alexandre L’Heureux: Well, if you recall to when we provided the outlook two quarters ago, I mean, some of our competitors thought that there would be a good pick up in the second half of the year for Canada. And we actually argued that we wouldn’t see the federal stimulus package to make a big difference for Canada in 2016. And we talked at the time that the Canada as a whole for the full year would be challenging. And actually, our views have not changed. And actually, I’m pleased at the time that we had those use. Having said all that, I do still feel that H2 will be a better year, a better half, I’m sorry, than what we experienced in H1 for Canada. So, if I can bring a bit of optimism to the discussion because I think there is some thing I expect H2 to better – to be better than H1.
Bert Powell: And, Alex, do you have a better sense of the stimulus dollars. Do you have any updated views on that? What’s kind of your current thinking on the extent to that benefits you see that and timing any additional insights would be appreciated.
Alexandre L’Heureux: Yes, unfortunately, Bert, we don’t have a view on it. It’s very difficult to know when and how and when the federal government will inject some dollar into the country. So it’s very difficult for us to make a statement on this, but I go back to what I said in my script, there is a good pipeline of projects and transportation around the world and Canada is not an exception. Canada, I mean, the long-term prospect of Canada in terms of transport is good. There’s a lot of projects out there and I think that if we win our share, the long-term outlook for our transportation segment should be good.
Bert Powell: Okay. That’s great. Thank you.
Operator: [Foreign Language] [Operator Instructions] Your next question comes from the line of Maxim Sytchev of National Bank Financials. Please go ahead.
Maxim Sytchev: Hi, Good afternoon, gentlemen.
Alexandre L’Heureux: Hello, Max.
Pierre Shoiry: Hi, Max.
Maxim Sytchev: Just a couple of brief questions. In terms of – Alex, I was wondering if you can shed some incremental lights, the organic growth in Bangkok has accelerated in Q2 versus Q1. Anything – you in terms of some bigger contracts you hope one just trying to get that that understanding of the dynamic.
Alexandre L’Heureux: Well, Max, I mean I think what I can do is that pinpoint our transportation segments around the world.
Maxim Sytchev: Okay.
Alexandre L’Heureux: We do feel that transportation infrastructure. I can give you two examples. For example, U.S. and Australia has been a good contributor to this increase. So I do feel that as a whole globally and both in – and also in Europe, I think our transportation infrastructure segment has been doing well.
Maxim Sytchev: Okay, that’s excellent. And then I was wondering if you remind sharing the geographic split right now in Canada between east and west just kind of ballpark, is it 60:40 or whatever maybe you’re comfortable sharing if it’s possible.
Alexandre L’Heureux: Yes, we don’t typically – I mean I don’t want to start the, Max, getting into – I don’t want to get into this. I mean next question will be can we strip London from the rest of the UK. And I think I do feel we have a good graphical mix. Clearly, the way the Western Canada do over the last two years has decreased significantly. And that’s not an understatement. Clearly and actually I would add to the acquisition of MMM is just exacerbated the increase in waiting to Eastern Canada. But I wouldn’t want to get into the splitting the country up quite in time.
Maxim Sytchev: That’s fair enough, thanks. And the last question just in terms of Australia, at some point the geography for legacy PB was quite profitable and became less profitable. Did you feel that there were still more upside in terms of normalizing the margin in that geography or is it more right now of revenue dynamic that should drive the profitability in Australia specifically.
Alexandre L’Heureux: No, I do feel that the market can still pick up even more, but I also feel that internally we can do more as well I mean that’s the goal. I think in certain end market, I do feel that we are – I think we are starting to perform, where we would like it to be. But in other markets and our team is aware of this, I think we are not performing where we need to and incremental work is needed to get those end market to where we need it to be.
Maxim Sytchev: Okay, that’s helpful. And Alex, just one last question related to Middle East. I mean there are a couple of large programs right, so the World Cup and the Expo. Have we seen some delays in terms of those contracts being awarded or they’re being awarded and then kind of the rest of the business is still very, very slow? Just trying to get the dynamic right.
Alexandre L’Heureux: On those big, big projects – to my knowledge we haven’t seen any delay or postpone, I mean they have to happen, I mean the Expo, the 2020 and 2022 World Cup, to my knowledge are still unplanned and will happen and therefore I mean I haven’t seen any delays on this. We’re seeing some plus moment on smaller size jobs and real estate development in region that those big jobs are I mean they still have to happen.
Maxim Sytchev: Okay, perfect. That’s it for me. Thanks very much.
Alexandre L’Heureux: Thank you.
Operator: [Foreign Language] There are no further questions. At this time I will turn the call back over to the presenters.
Pierre Shoiry: Okay. Thank you everyone for attending the call and we will speak in Q3. Thank you.